Operator: Good day, and welcome to the PNM Resources' Second Quarter 2024 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Lisa Goodman, Investor Relations. Please go ahead.
Lisa Goodman: Thank you, Danielle and thank you, everyone for joining us this morning for the PNM Resources' second quarter 2024 earnings call. Please note that the presentation for this conference call and other supporting documents are available on our website at pnmresources.com. Joining me today are PNM Resources' Chairman and CEO, Pat Vincent-Collawn; President and Chief Operating Officer, Don Tarry; and Senior Vice President and Chief Financial Officer, Lisa Eden. Before I turn the call over to Pat, I need to remind you that some of the information provided this morning should be considered forward-looking statements pursuant to the Private Securities Litigation Reform Act of 1995. We caution you that all of the forward-looking statements are based upon current expectations and estimates, and that PNM Resources assumes no obligation to update this information. For a detailed discussion of factors affecting PNM Resources' results, please refer to our current and future annual reports on Form 10-K, quarterly reports on Form 10-Q, as well as reports on Form 8-K filed with the SEC. With that, I will turn the call over to Pat.
Pat Vincent-Collawn: Thank you, Lisa. [Foreign Language] And thank all of you, and good morning. This is one of our favorite national days, National Avocado Day. But since this is the third time our earnings call has fallen on Avocado Day this decade, we haven't given much credit to the other days recognized on July 31, but today we are changing that. In 1970, the British Royal Navy sadly ended its daily rum ration, or tot, on July 31. So we're commemorating black tot day. Sailors gathered for more than 200 years from 11:00 a.m. to noon to enjoy their daily tot. Although, we are going to wait for ours for later this evening. I'll start on Slide 4 with our financial results and company updates. Ongoing earnings for the second quarter are $0.60, above our expectations. We are affirming our 2024 guidance at a range of $2.65 to $2.75 and we are also affirming our long term targets. Lisa will provide more detail on the numbers and our expectations for the year. Don will provide highlights from our utility operations, along with some color about our upcoming System Resiliency Plan filing in Texas and other infrastructure investment areas. Before that, I have a couple of company updates. First, the reason behind our holding team this morning, our shareholders will overwhelmingly approved our name change, and next week we will officially operate as TXNM Energy. This name better represents the entirety of our business, as TNMP is currently 40% of our rate base and grows to be our largest jurisdiction over the next few years. On Monday, we will visit the New York Stock Exchange for the opening bell to mark our first day of trading under the TXNM stock ticker. I also want to provide some comments in response to the events recently impacting our service territories. In New Mexico, many of you followed the South Fork and Salt fires in June that began outside of our service territory and then moved into the area of Ruidoso. In July, hurricane Beryl knocked out power for approximately 116,000 of our Texas Gulf Coast customers. In both cases, our number one focus was safely restoring our customers. Our teams live and work in these same communities. Customers are family, friends and neighbours. We recognize that having power is necessary for daily life and we do not take our responsibility lightly. As weather events become more extreme, we need to continue our strong focus on mitigation and preparation efforts, and on system resiliency and system hardening. The System Resiliency Plan we will file in Texas is one example of this. The response from our team at both PNM and TNMP was remarkable, and I can't say enough about our crews at our assistance crews that went into these areas to restore service to our customers. As we move forward, we will continue to look for opportunities to continue improving our customers' experience by advancing our grid infrastructure. With that, I'll turn it over to Don.
Don Tarry: Thank you, Pat, and good morning everyone. I'll pick up on Slide 6 with highlights for the quarter at TNMP and PNM. At TNMP, we reached another all-time system peak in May, at just over 2,700 megawatts, 6% higher than our summer peak last year. Since 2020, our system demand in Texas has grown at a 10% compound annual growth rate, driving an increased level of investment to expand our infrastructure to keep up with our customer demand. This year, we have experienced an increased number of storms, most notably Hurricane Beryl earlier this month. Before Beryl hit, we enacted our Emergency Operation Plan which brought in additional TNMP crews and contractors, and staged them strategically throughout the service territory in advance of the storm. Additional TNMP crews were also put on standby in our north central service territory, just in case the storm impacted those areas. Ultimately, it did not. And these crews, along with mutual assistance were brought into our Gulf Coast area for storm restoration. As Pat mentioned, over 116,000 of our customers had lost power when the storm passed. Our industrial customers did not lose service. Once we were able to safely get crews into our field, restoration began. And 50% of our customers were back online within 24 hours, leaving only those areas with significant tree removal and rebuild left to restore. Our teams worked around the clock until the last customer was restored. Storms like Beryl are one type of extreme weather events that is considered in our System Resiliency Analysis that we plan to file next month. Well I'll come back to that in a minute to discuss in more detail. Our regulatory updates in Texas, TNMP's investment plan over the last two decades has been in response to growth, like we've seen in our system peak. Our TCOS and our DCRF filings reflect these investments. And these capital recovery mechanisms reduce the regulatory lag on these growing amounts. The first of our two filings this year for both transmission and distribution recovery have been approved and implemented, recovering $300 million of investments placed into service last year. Our second set of filings were submitted this month, capturing the investments placed into service through the end of the second quarter. Now, shifting over to PNM. At the end of the quarter, our two 6 megawatt batteries approved last year for our distribution system became operational. This is a new solution for reducing constraints on our feeders, and we plan to use the next few months to calibrate the operation use to best benefit our customers. Our capital plans assume we will place another 30 megawatt or five 6 megawatt units on our system over the next couple of years. We are studying these batteries to confirm their functioning as expected. Once our assessment is complete, we will bring forth that plan for additional installation before the commission. Before moving into PNM's regulatory items, I'll speak to our team's response to the South Fork and Salt fires that, at their peak, displaced around 10,000 New Mexicans. Although these fires started outside our service territory, we closely monitored as they approach the areas in which we have infrastructure. Our teams quickly integrated with first responders and local, state and federal incident command centers to de-energize and re-energize lines in the manner that best supported emergency responders. We also prepared crews and secured mutual assistance, including TNMP crews, so that we could begin to rebuild lines and restore customers as quickly as possible. The work we had done in updating our Wildfire Mitigation Plan and establishing our Public Safety Power Shutoff Plan in May helped us in our preparation, planning and coordination. Once it was deemed safe to return, PNM crews, along with mutual assistance crews, worked around the clock to rebuild our system that was impacted by the fire. We have also provided funding and resources to leaders of this community as they work to rebuild. We also have a few regulatory updates for New Mexico. We filed our annual update to FERC formula rate, which incorporated $120 million of new investments, reflecting a 23% increase. At the New Mexico Commission, we received approval during the quarter for our 2026 resource adequacy filing, which proposed 410 megawatts of resources to serve growing customer demand, including 60 megawatt owned battery. We also have plans for grid modernization investments that are tied to a filing in front of the Commission. The plan includes integration of smart meters at PNM, which opens the door to more advanced rate structures and customer offerings. We requested approval for six years of investment as a part of a longer 10 year plan with recovery through a rate rider. We expect a recommended decision from the hearing examiner and a commission decision during the third quarter. And last, but certainly not least, we submitted our 2025 rate request to commission on June 14. The filing is for a future test year running from July 1 of 2025 through June 30 of 2026. To help mitigate impacts on customers, we requested a phase-in implementation for new rates. Half of the requested non-fuel increase would be implemented on July 1 of 2024. And the other half in January of 2026. We are still very early in the process based on procedural schedules issued by the hearing examiner, a deadline for stipulation or intervener testimony in the case is late November, and hearings are scheduled to begin in late February of next year. You can find more details about our filing in the appendix. Turning to Slide 7, the Resiliency Legislation passed last year in Texas is a different way of investing in the grid beyond just demand growth. The commission rules for a system resiliency plan recommends a third party assessment. And we engaged experts to identify ways to improve our system's response to extreme events. Our study models a variety of weather events that have impacted our service territory over the last 20 years. Because we have a service territory in three areas, Central and North Texas, the Gulf Coast and West Texas, this includes a wide variety of events. The model looks at the type and age of our infrastructure in different areas, along with our customer base. And it identifies the areas and investments with the highest benefit with respect to cost. We expect to submit our filing in mid-August, and will incorporate available information and lessons learned from Hurricane Beryl. We estimate that our filing will include approximately $600 million of capital investments, which is $150 million higher than the amounts previously included in our investment plan. The filing also allows for deferral of depreciation expense, or incremental distribution O&M to the balance sheet until the matching recovery of these amounts begin. The approach goes a step further than TCOS and DCRF filings to eliminate regulatory lag. The state legislation called for a six month approval process for the resiliency filing, which we would put the deadline for our approval in the first quarter of 2025. Turning to Slide 8, I'll cover other items that will advance our infrastructure. Texas legislation also called for a study on the development of transmission in West Texas, with a more forward looking view on potential new load. ERCOT has been providing updates on its study for needs in the area by 2030 and 2038, with significant increases in demand and additional investments needed in the area. ERCOT filed two reliability plans for West Texas last week, a 2030 plan and a 2038 plan. Over the coming months, we will work with the ERCOT regional planning groups, the Commission and other transmission service providers in the area to gain clarity around the level of investment for TNMP projects. The original timeline had been for the Commission to provide an order by September, but we will need to see how they will likely proceed. And lastly, in Texas, the Commission has published its proposed rules for mobile generation for comment, and we expect the rules to be finalized by the end of the year. We think mobile generation is a valuable resource in some of our more rural parts of our service territory. We will look to the final rules before making a proposal and incorporating into our plan. In New Mexico, we will be filing a proposal in the fourth quarter for new resources to be in service in 2028. New Mexico is limited on available transmission capacity. And any new resource will likely require associated transmission investments. Looking forward, we will need to consider new transmission investments to meet the growing demand on our system and across the Southwest. Expansion would also provide for increased utilization of generation resources, particularly New Mexico's high wind and solar potential, and also strengthen our ability to secure cost benefits for PNM customers. We have been developing a 20 year transmission plan, which includes evaluating alternatives for expanding capacity on our system. We will collaborate with stakeholders on each of these investment opportunities to ensure we are bringing benefits to all our customers. With that, I'll turn it over to Lisa for a more detailed look at the numbers.
Lisa Eden: Thank you, Don and good morning, everyone. I'll start on Slide 10 with a summary of the key year-over-year changes in the second quarter. Earnings per share were $0.60, compared to $0.55 in the prior year. Recovery of capital investments through TCOS and DCRF mechanisms at TNMP increased earnings year-over-year. In addition, the implementation of new retail rates at TNM in January, based on a future test year of 2024, contributed to increased earnings. Load growth at PNM combined with hotter temperatures lifted PNM above our expectations. While TNMP experienced increased usage from hotter temperatures, this was offset by a shift from demand based billings to a transmission rate structure for certain data centers. Income from our PNM decommissioning trust also increased earnings based on market performance. Offsetting these increases were reduced PNM transmission margins due to lower market prices this year. Continued investments in capital projects to serve growing customer demand resulted in increases to depreciation, property tax and interest expense year-over-year. Now turning to Slide 11, I'll cover our guidance assumptions for the rest of the year. We are affirming our annual guidance range for 2024 of $2.65 to $2.75. We are ahead of expectations in the first half of the year. We will revisit our year-end assumptions next quarter given the third quarter typically accounts for the largest portion of our earnings. On Slide 12, we're also affirming our long term targets. We have rate based growth of 10% based on our existing capital plan, which do not yet incorporate the additional $150 million resiliency investments at team TNMP. We will update our capital plan next quarter. In the meantime, I'll provide updates on our financing plan. In June, we completed our planned issuance of $550 million of junior subordinated convertible notes. We received both favorable pricing and a 50% equity credit. Not only did this enable us to refinance a large portion of our holding company debt, but it also benefited our income statement and balance sheet. We were pleased with our success in issuing these notes, which underscored the market's appreciation of our growth opportunities. In addition, we issued debt at both PNM and TNMP to support this year's utility investment. Looking forward, we expect to refinance the remaining portion of our corporate term loans in a similar favorable manner. We focus on ensuring that our credit metrics and balance sheet continue to stay strong as we grow the business. We plan to issue an average $100 million of equity per year to fund planned capital investments through 2028. We continue to assume that additional investments will be financed with 40% to 50% equity. Finally, our 2024 and 2025 interest rate hedges will help reduce volatility from fluctuations in interest rates. We have $600 million in place this year and $300 million in 2025. All in all, we're executing against our plans and we are on track to deliver on our earnings growth target of 6% to 7% through 2028. With that, I'll turn it back over to Pat.
Pat Vincent-Collawn: Thank you, Lisa. Before we open it up for questions, I again want to recognize our employees that dropped everything in their lives and went out to restore our customers, both at PNM and TNMP. Crews from both of our utilities, along with those from other mutual aid utilities and our support personnel looked for ways to help the impacted communities and provided examples of what it means to put our customers first. The crews worked long days and nights keeping each other safe while pushing ahead. This is our company's spirit and showcases our values of safety, caring and integrity. To all of our employees, thank you. You are appreciated not only for what you do, but for how you do it. Danielle, let's open it up for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Julien Dumoulin-Smith from Jefferies. Please go ahead.
Julien Dumoulin-Smith: Hey. Good morning, team. Thank you guys very much. Appreciate the time.
Lisa Eden: Good morning, and welcome back.
Julien Dumoulin-Smith: It's good to be back. It's a pleasure. Hey, look, you guys have had a fun time in the interim, lots to talk about here. So maybe just kicking it off here on the -- just on the resource filing here. I'm actually curious just to talk through this a little bit, right. You've done this resource filing, there's a good chunk of PPAs within the total. I mean, how do you think about ownership in utility-owned assets at this point? Obviously, storage is kind of an interesting tweener, that's a key piece of the ownership piece. But how do you think about the eligibility for other assets here, especially given what you've put in forth in the resource filing here?
Don Tarry: Thanks, Julian. And good morning. I almost didn't recognize your voice. Just kidding, Julien. As you think about the 2026 resource filing, anytime we do a resource filing, it's heavily focused on whatever benefits our customers, and can best utilize our grid for reliability purposes. And so that's the core of how we evaluate our RFPs. I will point out in the 2026 resource filing that we received approval for last quarter, it was a mix. It was a mix of a company owned. We got approval for a 60 megawatt battery that we could utilize to best benefit to the grid that benefited our customers, and then PPA, solar and battery as well. As we look forward to the 2028 resource, we're in the process of going through that filing right now, the RFP process. And I wouldn't want to get ahead of the regulatory process. And again, I mean, it's focused on the benefits of the customer. I will point out in the -- as I talked about it that the transmission, we're transmission constrained as we add new resources. So there's always transmission opportunities as well, too.
Julien Dumoulin-Smith: Yeah. All right. You pre-empted my follow-up on '28, which is the logical next step. So indeed, we'll stay tuned on that. Now, the next piece of this though, as you say, you're transmission constrained, you've got ERCOT leading the charge on this effort to implement legislation. How could that change the outlook here? So, 2028 resources would imply that you need transmission prior, right, in the five year outlook. By contrast, ERCOT, they talk about 2030, could that have an impact in the medium term here in the next five years?
Don Tarry: I believe it would. And let me give you just a run through a quick history of where they're at in that process. Legislation was developed in 2023 and approved to focus on the growth that we're seeing, and other transmission and distribution providers are seen in Texas. That report was just filed with the commission from ERCOT. And to kind of give you a feel, ERCOT, when they filed the report, said 24 gigawatts of load is expected by 2030 in Texas, in the West Texas area, with another 3 gigawatts by 2038. ERCOT went through a process of coming up with a couple of different options. And at the same time, ERCOT was studying the whole ERCOT area as well, too, the other locations within ERCOT. And so the two options that they came up with were very focused on what we would say a 345 kv kind of structure, and then another two extra high voltage options. And so they just filed that report on the 26th with the Commission. And they recommended that the Commission give it a few more months so they can study the whole state as it relates to the extra high voltage option. But the caveat that they put in there is, under either option there's about $4 billion of investments in the West Texas area that could proceed under either. So, the commission now has that, and they have until, or they look till, based on legislation in September that they will have some decision on that. And they've already sent out questions to the transmission and distribution providers with an August 9th comment period. For us, it depends on what comes out of that, but we do see upside associated with that.
Julien Dumoulin-Smith: Got it. Excellent. Then lastly on mobile Gen, I mean, does the latest development shift how you're thinking about tackling that opportunity? Just maybe what would be relevant to install or what have you? Again, obviously, it's gotten a certain degree of attention here off late.
Don Tarry: Thanks, Julian. Good question, especially based on some of the comments over the last month or so. Our focus has always been, let the rules get developed, and that's where the process is. Our focus, given our service territory and the needs that we have, have always been based on, to kind of give you a feel, mobile generation that's 500 kw to 1 megawatt, that we could actually move around as necessary for our rural areas. So, I don't believe, I mean, I don't believe that that will change in our focus as we move forward. We see it as very beneficial.
Julien Dumoulin-Smith: Excellent, guys. I'll leave it there. Thank you so much. See you soon.
Lisa Eden: Thanks. We will.
Operator: The next question comes from Nick Campanella from Barclays. Please go ahead.
Nicholas Campanella: Hey. Thanks for the time. Good morning, everyone.
Lisa Eden: Good morning, Nic.
Don Tarry: Good morning, Nic.
Nicholas Campanella: Hello. Good morning. I went back and checked, and this is my second Avocado Day while covering the stock, wherever I may have been, so always a pleasure. Hey, I wanted to ask on the resiliency filing, just this is essentially zero lag capital. So, when you layer that into the plan, you still need -- we still need to be kind of thinking about that 40% to 50% equity funding factor that you discussed or just how should we kind of think about that?
Don Tarry: Well, I think first element is, we had assumed $450 million. This is a three year resiliency filing, so it covers '25 to '27. We would look to make another resiliency filing for the periods of '28 to '30 in 2027. So keep that in mind. $450 million of the capital was already assumed. What was added or what we expect to add in the August timeframe when we actually filed the resiliency file will be another $150 million.
Pat Vincent-Collawn: Yeah. And Nic, our objective is to continue to balance equity and growth to create value. And so we've always been transparent with our equity funding needs. And so when we update our capital plan in Q3, we will provide more transparency regarding our equity assumptions in our model.
Nicholas Campanella: That's great. I appreciate that. I just wanted to ask on New Mexico rate case process quickly. You talked about stipulation and intervener testimony I believe in November. But is it still the case that just you expect intervener testimony to come out regardless of the ability to achieve a stipulation? Just wanted to confirm that.
Don Tarry: It depends. I think, what to kind of think about as you think about the timing is right now it's very early in the process. We filed in June. What's going on right now is there's discovery by interveners to understand the different components of what we filed. My guess is, ahead of November, clearly there'll start to be some discussions associated with that. And traditionally it's been a couple of months before that. You kind of let the intervenors get through asking their questions and getting an understanding. And then you can kind of move to settlement discussions ahead of the November period.
Nicholas Campanella: Okay. Thank you very much. Appreciate the time.
Lisa Eden: Thank you.
Operator: The next question comes from Michael Lonegan form Evercore ISI. Please go ahead.
Michael Lonegan: Hi. Good morning. Thanks for taking my questions. So, you identified $150 million of incremental Texas CapEx through the '27 period for the Resiliency Filing. You talked about another one for '28 to '30. Just wondering how much is baked in your current plan through '28, or in '28 for resiliency spending and what could be incremental upside there?
Don Tarry: Yeah. So what's baked into our plan is $450 million from 2025 to 2027. So, when you think about out there, that'll be a whole new filing. It's not baked into our current capital for '28 and beyond.
Michael Lonegan: Got it. Thank you. And then going back to the New Mexico rate case settlement, you have the potential settlement. You have the controversial legacy issues behind you pertaining to four corners prudency and power leases. Obviously it's early in the case, but do you see a much stronger possibility you could settle? Obviously, Excel, their SPS subsidiary, reached a settlement not too long ago.
Don Tarry: I think getting the legacy cases puts us in a better position to sit down with the interveners. I don't want to jump out there today and see, you got to see what their concerns are after they do their discovery and then sit down and have a discussion.
Michael Lonegan: Got it. Great. Thanks for taking my questions.
Lisa Eden: Thank you and a belated good morning, Michael.
Operator: The next question comes from Jonathan Reeder from Wells Fargo. Please go ahead.
Jonathan Reeder: Hey. Good morning, team. Actually, all my questions have been asked and answered, so I am all set.
Lisa Eden: Thank you, Jonathan. Good morning. Enjoy your run.
Operator: [Operator Instructions] The next question comes from Ryan Levine from Citi. Please go ahead.
Ryan Levine: Good morning.
Don Tarry: Good morning, Ryan.
Ryan Levine: Hi. In terms of the ERCOT Permian transmission opportunity, in your earlier question you highlighted the $4 billion. That's local, so I guess the common local upgrades. Is that what you're highlighting specifically related to your service territory? And do you see any opportunities in the import pass or incremental local upgrades that are outlined in the filing?
Don Tarry: I think in the $4 billion, absolutely, we see opportunities there. Right now what the PUCT will do, based on the questions that they sent out, they'll have to kind of sort through which utilities get those upgrades. I think as you look broader, when the other options are out there, there's potential for those as well, too, when ERCOT finishes their full study. But for the $4 billion, it's a lot of these are in our backyard, so they're great opportunities.
Ryan Levine: Okay. And then, what are the main components of the incremental $150 million in the Texas Resiliency Filing? And how does stakeholder engagement or dialogue regarding the hurricane impact your CapEx outlook?
Don Tarry: Yes. The first question is, we haven't filed it yet, so I don't want to get out there ahead of the filings. So we'll file it, and then we can have a lot more in depth conversation of the breakouts associated with it. I will tell you, the hurricanes and restoration, like we do with all storm events, we have after action reviews, we look at opportunities that we did really well at. And I can't say enough about our folks in the mutual assistance crews that Pat alluded to, did a tremendous job. But there's always areas that you can improve on, there's always areas that you, as you move forward, as it relates to resiliency that you need to look at. And so that's what we're going through right now. So I think the hurricane does play a role of what additional areas do we need to really focus on. And that's why we've kind of waited a little bit longer to kind of go through that and make our finally mid-August.
Ryan Levine: And has there been any change to your tree trimming or veg management program in response to what's happened elsewhere in the state?
Don Tarry: We've continued to increase our veg management in Texas and the tools that we utilize as well, too. So, I think, as you look at the resiliency filing, there's opportunities to do just based on the way the legislature has designed it, even additional veg management. So, and I would remind you that in Texas, specifically in our service territories, there's a good portion of what caused the outages there that were outside of our right of ways. But that's working with communities as well as the PUCT and legislatures of how you fix to solve that piece of the puzzle as well, too. And I think that's probably one of the bigger learnings that came out of this hurricane.
Ryan Levine: I guess there's one follow-up on that, I don't know if it was asked in anyone else's question in terms of the percentage of veg management that may be associated with trees that aren't within your right of ways, do you have a sense of what that is for your service territory?
Don Tarry: Yeah. For this specific hurricane, it was in the range of 55% to 60%.
Ryan Levine: Appreciate it. Thank you.
Lisa Eden: Thanks, Ryan.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Pat Vincent-Collawn for closing remarks.
Pat Vincent-Collawn: Thank you again for joining us this morning. Enjoy your rum this evening. I’m pleased to announce to watch Lisa Eden ring the opening bell at the New York Stock Exchange this coming Monday morning. Stay safe.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.